Operator: Ladies and gentlemen, good morning, and welcome to Nexans Third Quarter 2023 Financial Information. As a reminder, this conference call is being recorded. Please note, you will have the opportunity to ask questions at the end of the call. [Operator Instructions] I would now like to turn the call over to your host for today's conference call, Mr. Christopher Guerin, Nexans' CEO. Please go ahead, sir.
Christopher Guerin: Thank you. Good morning, everyone, and thank you for participating in Nexans' conference call. Here is Chris Guerin, CEO of Nexans'. With me Jean-Christophe Juillard, Deputy CEO and CFO; Elodie Robbe-Mouillot, VP Investor Relations. Let me turn you over to Elodie, who will go - over the conference call rules.
Elodie Robbe-Mouillot: Thank you, Chris. I would like to remind participants that statements made during the conference call, which are not historical facts are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Readers and listeners are strongly encouraged to refer to the disclaimers, which are integral part of our URD, along with the audio replay of today's call that will be posted on our website, nexans.com. I now turn you over to Chris, who will go over the third quarter highlights.
Christopher Guerin: Thank you, Elodie. So let's go on Page 3. So a few - we are projecting only revenues here, but what we can say is that Q3 '23, it's a 2.1% organic growth if we exclude the others. I remind you that we are willing to reduce our exposure in the Metallurgy business, as mentioned in our Capital Markets Day in 2021, and it starts in good track. Robust upturn in Q3 for Generation & Transmission. I will give you more highlights in the further slides, and we are at plus 18%, even 21% if we exclude organic growth that we are removing as an activity. Distribution & Usages, we keep working on our transformation platform. Of course, on the revenue, it does not express the margin, a slight almost neutral organic growth in Distribution, a slight downturn in Usages, but I will give you more color in that regard, and the very strong growth in non-electrification assets specifically in Automotive Harnesses and Automation. Regarding, of course, Generation & Transmission, like the main actors of the sectors, the cable industry has a very strong visibility up to 2030, which is the case of Nexans with an adjusted backlog of €5.2 billion. And I think you have seen as well the recent announcement on the positive side on Europe regarding wind package that will generate as well new awards in the coming years. We have announced in the course of Q3 strategic investment with the third cable-laying vessel to address the demand. And of course, we are now in October. Let me confirm that Halden plant's expansion is on track and ready to start operation in 2024. Regarding the HP modeling motions, we keep working strongly on the environmental factors in addition to engagement factors. So very strong progress overall, working on as well the reduction of the carbon emissions in some facilities. Very happy to announce as well that our metallurgic assets in Canada and France have been awarded Copper Mark label for their responsible copper production. We are as well working on bringing green energies in some countries, where green energy has limited access, what we did recently in Nexans Turkey. Let me turn for the next page regarding the growth factors to Jean-Christophe.
Jean-Christophe Juillard: Thank you, Chris. So in terms of performance for Nexans sales at the end of September '23, you can see on the Page 4 total group level, minus 0.2% global organic growth. But again, like we do always, it's important that we repeat that if we exclude the metallurgy strategic move to decrease our exposure, the organic growth is 3.4% on a nine-month-to-nine-month basis. If we look on a quarter-to-quarter basis, then the organic growth is 0.8%, and if we exclude again the metallurgy, 2.1%. When we look by business, as you can see on the slide, we have quite, I would say, a different picture whether we look at electrification business where it's slightly down minus 2.6%, and I will - we'll come back on the reason of explaining basically this minus 2.6%. And on the other side, the non-electrification business, I will also detail later, are growing almost 18%. And Other Activities, obviously, as I said, driven by the decrease in sales in metallurgy as per our strategic plan. Moving to the next page and turning back to Chris for G&T performance.
Christopher Guerin: Yes. So what you can see on the Q3, it's roughly 8% organic growth quarter-to-quarter, 21% excluding Umbilicals. The news of the quarters in terms of operation is the good news coming from U.S. in brackets for Charleston plant operating at full capacity. I'm sure you will have a lot of questions in regards to the recent announcement from New York State on some projects and the fact that, they have rejected some request for higher rates. I will color that through the Q&A session. We're happy to answer what I can answer, of course. Very strong visibility on manufacturing and installation assets up to 2030. So now if we have to take orders, with the exception of risk of cancellation, we are working on 2029 - mainly 2028, 2029 up to 2030. Even in case of cancellation exposure, let me remind you that the Sunrise Wind project with Orsted and the Empire Wind project with Equinor represent as of today around 13% of our adjusted backlog. So that's not the only information that we gave before, given the volatility on our stock price and the many questions we have, so we wanted to provide this information to you. Happy to give you more insight through the Q&A session. In regards to Distribution, JC?
Jean-Christophe Juillard: For Distribution, you can see that we continue to have a strong performance. We talked in the first half results the extraordinary performance in terms of earnings and EBITDA growth into that business segment. We can see here that for the 9 months, the growth is 3% of the top line. When we look by market or geographies, North America is growing 8%. Europe is growing 9%. Definitely addressing the need for grid modernization and all the new renewable energy projects. So a lot of demand for grid in Europe. Only, I would say, geography where we have a slowdown is in South America. But globally speaking, the trend for distribution is - continues to be very strong. Also, it includes, obviously, the share of Reka, the acquisition we've done in April of this year. That is also contributing €19 million to the sales of the nine months versus last year. So again, very strong performance. If I move to the next slide and we look at Usages on Page 7. So you see a 6% - minus 6% decrease nine months '23 versus '22. I mean, the bulk of that decrease is coming from North America with a strong decrease in excess of 30%. But we've started to see the decrease in the second quarter of this year, as we discussed in our first half financials. But it remains, I would say, at a quite healthy level. When you compare to basically to the pre-COVID time, we remain much higher both in terms of volume and in terms of prices. But definitely, we see a normalization, I would say, on the North American Usages business, globally speaking. Europe is, I would say, flat in terms of slight negative organic growth, but I would say flat, and Middle East and Africa growing 11%. Moving to the next slide on Page 8. We look at the Non-electrification business. So here, we have a very strong performance of the revenue of the sales both on a nine months basis and a quarter-to-quarter basis '23 to '22. I mean, there are three elements which are explaining this very strong performance. We have three businesses that are benefiting from the current environment. The first one is auto electric. Our harnesses business is growing up 21% from nine months this year to nine months last year, mainly driven again by a strong - very strong performance in Europe. Again, we gained new market share with our presence in Ukraine, a new contract. We have a new platform with our existing German customers. And basically, the business has been growing now for almost two years - two and a half years in a row by about 20% every year in terms of sales, and margin is also following that trend. The second area, which is growing strongly is Automation sales, plus 20% between nine months this year and last year. Again, we see strong sales on Automation, even though the backlog on Automation is reducing. So definitely, the sales growth is going to slow down probably in 2024. But globally speaking, for the nine months a strong contributor. And the last piece of explaining the growth of the nine months sales is on the mining business, our unit in North America and the U.S. AmerCable is growing 22% addressing that market that demand doesn't - is not reducing, and now it has been growing for the past 18 months very solid - in a very solid matter. For the Other segment, I would say its pluses and minuses, but really, the trend is explained by auto electric, automation and mining. Metallurgy and the Other Activities, what I explained, this is, I would say, part of our strategy. It's going down 15% year-on-year. But again, that's part of our objective. If I move now and conclude this presentation for the third quarter sales results on Page 9, we confirm the guidance. So I remind you that we upgraded the guidance in our July presentation, July call. The guidance for year 2023 is €610 million to €650 million for EBITDA. And for a normalized free cash flow, we maintained the guidance of €220 million to €300 million. So that will conclude the presentation for this morning, and we'll now take the Q&A.
Christopher Guerin: Thank you.
Operator: Sure, thank you. [Operator Instructions] We will take the first question from line Daniela Costa from Goldman Sachs. The line is open. Now, please go ahead.
Daniela Costa: Hi. Good morning, everyone. Thanks for taking my questions. I'll take three in three different areas. First, I guess, Chris, following up from what you said that you're going to discuss inevitably the U.S. wind offshore situation. Can you sort of talk about that, what projects are already on the lines, which ones are still subjected to cancellations? But maybe walk us through the Charleston factory utilization in '24, '25, '26, kind of what's the visibility? Actually a, segue into that, can you clarify just a backlog, how do you define that? And if you look at just fully confirmed with advances and notices to proceed, what's the utilization based on that backlog? Number two, regarding your utilization in terms of your commentary regarding the Distribution & Usages, and you had previously guided for conjunctural normalization. Can you talk about pricing on those, particularly and what you still factor in going forward? And then just the third point, have you thought about - you have previously talked about capital allocation and M&A and divestments. But have you maybe thought about sort of proposing a buyback to the Board? Or how is the - what are the priorities on capital allocation at the moment? Thank you.
Christopher Guerin: Okay. Thank you. Good morning, Daniela, let me take the two first questions. Regarding U.S. wind offshore, first of all, so if we take a helicopter view of the situation. For the moment, three projects have been canceled so far anyway: two from Avangrid and one from Iberdrola. The two from Avangrid, which are Park City and Commonwealth, were not awarded to Nexans, but to our main competitor. So, we are not concerned about that one. And the one from Iberdrola in South Coast have not been awarded cancellation. So that's the contract that have been canceled so far. Regarding what happened a week ago. New York State has rejected requests from offshore wind developers, mainly Equinor and Orsted, for higher rates. So they refused to adopt and request to increase rate. What is the color of Nexans for the moment on - linked to those business? First of all, we are today producing Revolution. Revolution project is providing energy to Connecticut and Rhode Island and therefore, not impacted by New York decision of last week. Revolution is in full progress, will end at the end of midyear next year. And we consider there is no risk on that project. The second project that we are producing with - for Orsted right now is South Fork. The South Fork is almost fully completed as a project overall, and we have already delivered all the cables a few months ago. So that's a no risk for 2023. The main topic in terms of risk for us is, with at least Orsted, is Sunrise. Sunrise, we are talking about roughly a €200 million revenue for next year. Sunrise Wind project is already quite advanced, either in - specifically with converter stations and as well on their final stage of construction. Foundation [ph] are already under manufacturing process. So if this project will be canceled, Orsted will occur significant termination costs in case of. The FID for this project is expected around March 2024, which is, of course, Sunrise is our main point of attention in risk of cancellation. What is the situation with Nexans? The Sunrise project is in full force since June - this year. So, if we have a cancellation that will be termination fee that will be - that will occur. The unpaid balance of everything that have been accepted in the contract in terms of value that, will have to be paid on all the due invoice. So we have - as of today, since last week, we have received no indication from Orsted regarding any potential delay, suspension or termination for Sunrise project, given the fact that those contracts have been formally awarded in contractual terms. So, I cannot say much right now, because I cannot talk in the name of my customers, of our customers, but this is the situation for Sunrise. Regarding Empire Wind, we have in Empire Wind 1 and Empire Wind 2. The contract is already for Empire Wind 1 in full force. Of course, so like Sunrise, will Equinor cancel Empire Wind 1, Nexans will be entitled to keep the reservation fee plus all incurred costs and termination fee. The Empire Wind revenue for next year is less than €150 million. Regarding Empire Wind 2, we may have a risk of delay, but we know that the customers have so many project in the pipeline that have to be awarded or confirmed in terms of awards. But I'm sure that it will benefit us to replace any delays of Empire Wind. So, I cannot say much right now, the exposure for the backlog is 13%. Of course, Sunrise, if there is a cancellation, we'll have an impact in 2024. But for the moment, we have no indication of cancellation. We know that our customers are very, very active right now to find solutions and remain very positive as well for a positive outcome. The U.S. wind offshore business right now is huge in terms of demand. Nice rather [ph] I have communicated the New York three-project last night that have been awarded to Total, RWE mainly. So I don't think there will be a slowdown in U.S. in regards to wind development.
Daniela Costa: Just very quickly actually on what you just answered - given, can you elaborate maybe termination fees? Normally, how big are they? Are they comparable to advances, for example? And if they do get canceled, can you fill in the factory quickly with other stuff? Or we should then think, okay, you will fill in '25 and '26, but '24 is a bit too late to retool?
Christopher Guerin: So, I will not communicate the value for termination fee, because that's between us and our customer. They are significant - but it's not only the question of termination fee, it's all the cost which is already incurred, because we are supposed to start the production beginning of the year for Sunrise. Everything, all the raw materials have been already ordered. Of course, if there is a cancellation behind the financial impact. The termination fee will not compensate, the margin based on €200 million revenue. But what we can do not to either the capacities that we can pull ahead some projects that requires better lead time in terms of demand from customers. So, we will be always able to find solution with the pipeline that we have right now. But we are not in that situation for the moment. We have no indication from the customers of a risk of cancellation. So regarding the - I cannot much - say much right now, Daniela, because - the question needs to be addressed directly to our customers.
Daniela Costa: Understand, understand. Thank you.
Christopher Guerin: Regarding Usages, Usages, but I think it's pretty important here in 2024, because we are not focused on growth, we are focusing on structural transformation. So first of all, I remind our financial community that we had €1 billion revenue in Distribution & Usages that were below 5% of EBITDA. So, we keep moving and pave the way of transformation of those units to higher EBITDA ratio, and they are running very, very well in terms of transformation. So you have a positive mix effect on that business from low performer moving to high performer. So that's - this is why this is not reflected in the organic growth, because sometimes you know that through SHIFT Program, sometimes we have to reduce our exposure on some sub-vertical or with some customers, because of dilutive margin. The second, we have a normalization in U.S., that's for sure. For the moment, it's volume-wise. There is an attrition as well on pricing in U.S., but it's kind of normalization. The margin that we output is very significant still there. We have a limited visibility of what will be in '24. So the guidance that we provide to our teams in regard to Usages is, first of all, we have launched some initiatives that we call recession-proof so everything which is linked to complexity reduction on cost reduction. Because we are not - we don't believe that '24 will be a great year. So it's better to prepare for recession. The second, there is still a massive shift from commodity product PVC made to fire safety [ph] which give us an improved incremental margin versus PVC. So, there is a big shift happening right now in the portfolio. And we protect - the motto is to protect the margin as much as we can by launching new innovation. So far, everything is running as expected. This is why JC is very positive on the guidance 2023. Of course, we have to give more color in the beginning of the year of what will be the evolution for the first semester '24, because our backlog have very, very low, I would say, depth in terms of visibility. So I cannot say much right now, but a high focus on margin. You had the third question, Daniela?
Daniela Costa: Regarding capital allocation update and whether you thought about buyback?
Christopher Guerin: Thank you.
Jean-Christophe Juillard: So buyback is not the number one topic for us as of today in terms of capital allocation. I mean, now capital allocation remains focused on executing the strategic CapEx of growth for high voltage. You know that we just announced a couple of months ago the third vessel for Nexans. So this is roughly €280 million to €300 million cost that will be spent over the next three years. So that's, I would say, number one. Number two, definitely is to continue to look to be selective. But we believe that 2024, if recession might or not could come, will be a much better market for us in terms of acquisition. So, we want to make sure we can deploy the balance sheet of the company to do meaningful and structural, I would say, acquisition, and we are working on that. So, I would say that's a very strong element of our capital allocation. And I would say number three, we'll continue to increase our dividend. You've seen that over the past three years, the dividend of Nexans has really caught up with market environment. And we are now, I would say, delivering a dividend yield which is at par with our competition. And definitely, our aim is to continue to grow that, as we said. So I would say that this is the three elements - the three key elements of the capital allocation of the company, I would say, for the next 12 months.
Daniela Costa: Okay. Thank you very much.
Christopher Guerin: Thank you, Daniela. Next question.
Operator: Thank you. We will take the next question from line George Featherstone from Bank of America. The line is open. Now please go ahead.
George Featherstone: Hi, morning everyone. Thanks for taking the questions. First one would just be a follow-up on this offshore wind implications in the U.S. Really appreciate the color you've given so far. Just wanted to kind of go through a little bit on the incurred costs comment that you've mentioned in terms of what would have to be covered there. If you're planning on building, these cables for next year already, presumably you've already sourced quite a lot of the materials. So just trying to understand the comment that you made in terms of not being able to recoup most of the margin that you'd be able to get there. What's kind of the outstanding pieces there? If you could provide a little bit of color on that, that would be great. And then in addition to that, on Revolution, what is giving you so much confidence that the customer will ultimately take the cable there? That would be also super helpful?
Christopher Guerin: Oh yes. Good morning, George, what is notified in the contract is all incurred cost on materials will have to be compensated at date of cancellation. So, I cannot say much about it. So that will be - that protect us from everything that has been already launched. Regarding Revolution, Revolution is focused on Connecticut and Rhode Island and was not part of the request from Orsted to the New York State. So this is why it gives us confidence, and the project is very, very well advanced in terms of production. I cannot say more.
George Featherstone: Okay. Thank you. And then you also mentioned that you might be able to pull forward some other projects, and start building those. Can you help provide a little bit of color on the conversations you're having with those customers already? Is that something you've already started to plan for, or not, because those kind of contracts are yet to be canceled?
Christopher Guerin: Yes. We are very active with everyday conversation with our main customers, but I cannot give you much detail on those discussions so far. And I will, obviously, when there will be an official cancellation. But it seems that the market already considered that there is a cancellation, which is not the case right now.
George Featherstone: Okay. Thank you. And then maybe moving to distribution. The revenue growth perhaps year-over-year that showed a little bit of a sort of flattish development. But I just wondered, you had quite a good improvement in margin in Q2. I know we're not talking necessarily about the profit in this update. But can you help us sort of understand whether or not that same trend has continued in the profitability improvement in distribution?
Christopher Guerin: Yes. First of all, George, it's - this business is pretty resilient in case of recession, because of the European electrical - grid operators needs to renew a massive part of the cables. It's the same in the U.S. The margin that you saw recently have not changed, because we are not changing the price every month. It's a frame agreement. Why the revenue have been a bit sluggish in the last Q3 is, because two of our main customers had labor force issue for installation and had to postpone some of orders. But now when we speak, most of it is through, so orders are back. And we received - not yet officially public, but we received some new frame agreement with twice more volume for the two years onwards versus the last two years. So I confirm that the trend is very, very strong. And we have a good visibility for '24, George, in that sector.
George Featherstone: Yes. And just on that last point, do you have to make any further capacity expansions? And can you just talk about what you're planning on doing there?
Christopher Guerin: Yes. We're working on it. There will be some capacity increase announcement in coming months, needs still to be validated by our Board of Directors. But this is the sectors in terms of - beyond the G&T in terms of capacity increase that will receive some capital allocation.
George Featherstone: Thank you very much.
Christopher Guerin: Thank you, George.
Operator: We will take the next question from line Akash Gupta from JPMorgan. The line is open. Now, please go ahead.
Akash Gupta: Yes. Hi, good morning, everybody. And thanks for your time. My first one is also on offshore wind. And thanks Chris for providing the color. The question I have is that when you get an offshore order, you block your production capacity and you block installation capacity. Now I see that the demand is very strong for production, and I see you are also looking to bring forward other projects in case, if you have delays or cancellation in U.S. offshore. So, I guess on the manufacturing-wise, I'm less worried. The question I have is more on the installation side, that do you have flexibility in installation that you can replace - you can bring forward some other installations so that you don't see any underutilization there? So that's question number one?
Christopher Guerin: Yes. Thank you Akash, it's a good question indeed. First of all, the only contract which is, for the moment, linked to installation that will occur in '24 is Revolution. We don't have any installation for Sunrise, and the Empire Wind will be in 2025. So far, the topic of the risk management in case of cancellation is focused mainly on the production of cable, not on the installation. We have limited impact on the installation. Yes. I don't know if my answer is clear. Let me repeat. We have been awarded in the Orsted pipeline of orders for the installation only on Revolution, not on the others.
Akash Gupta: Okay. And this Empire Wind and orders, are - do they have installation or just production?
Christopher Guerin: Yes, they have. They have installation in 2025. But also again, let me repeat we are - our customer looks pretty confident on the limited risk of cancellation at least on Empire Wind 1. On Empire Wind 2, we'll give us more room to find solutions, because it will not start before '25.
Akash Gupta: Yes. And my second one is on the U.S. where you made some comment about some normalization in Usage. Can you remind us how big is U.S. for Usage? And what's your exposure there between residential and nonresidential?
Christopher Guerin: It's roughly €200 million overall. And I think - just top of my mind, I think we were 60% residential, 40% commercial and industrial [ph] infrastructure. And we had a massive shift from a year ago from residential to commercial on additional infrastructure. So, now we have a limited exposure to residential. But - we talk a lot about North America, but I remind you that we are not exposed to U.S. market, Canada only. And I would say mainly commercial and industrial infrastructure.
Akash Gupta: Thank you. And my final one is on the performance of telecom business. I mean, we are hearing from the players in the market that there is a destocking in that space and may last for another six months. So I'm wondering what sort of trends have, you seen in your telecom business that is set for disposal. And any update on the time line of when we might see that closing of that deal? Thank you.
Christopher Guerin: Yes, indeed, there was a destocking on the market for the last six months. Customers remain extremely positive regarding developments of our fiber optics cables on accessories. We see already some positive flows coming up in - for year-end, but mainly for 2024. So, I will say that if I need to qualify 2023, the 2023 was more a transition year, and '24 looks much better.
Akash Gupta: Thank you.
Christopher Guerin: Thank you, Akash. We have other questions.
Operator: Thank you. We will take the next question from line Miguel Borrega from BNB Paribas. The line is open. Now, please go ahead.
Miguel Borrega: Hi. Good morning, everyone. Thanks for taking my questions. The first one, just a follow-up on Generation & Transmission operating leverage. So if it's the case, that 2024, or maybe 2025 installation is canceled, can you help us understand the potential implications at the margin level? What do margins look like if capacity utilization is below what you anticipate? Can you replace it with other projects? Are there any alternative measures to offset that impact? And then in Usages, can you help us understand why pricing has not moved yet for you? Have you seen other competitors cut prices? Thank you.
Jean-Christophe Juillard: So, I will take the first question on Generation & Transmission. So again, if any cancellation, which is not again - what we're seeing today, again as Chris explained, but if any, it would relate to likely to the Sunrise project. That's the one we'll have the most impact and potentially Empire Wind 1, but mainly Sunrise project. The impact on the margin is not going to be for '24 that significant. And again, we'll get some compensation that we believe financial impact will not be that much. In terms of operating leverage, definitely, we have and we are working on plan B to find options to basically off the load from - like move on some contract that we have in the backlog. And we also have some pipeline of contracts that we could be tendering and getting, I would say, faster or maybe in addition to what we are expecting to replace this contract. So there's definitely ways for us. We need to prepare and we are preparing on this plan B in case there is a cancellation. Again, there's none. But again, overall speaking versus our position today, if there is no cancellation, the impact should be limited as far I can tell you, both in terms of margin and in terms of operating leverage.
Christopher Guerin: Regarding the Usages. Miguel, my indicators for pricing sustainability in regards to Usage business is focused mainly not on the volume, but on the copper value. It's the copper value that really put the pressure a lot on the cable manufacturers. Because even if it's a pass-through for us, it's a full cost for our customers. So as the copper remains pretty stable in terms of value. We have for the moment limited pricing negative effect. Some regional and middle sized competitors may decrease price, but the motto internally in Nexans, is we want structural effect, we want innovations to compensate. We want a shift of mix from PVC to fire safety. And given as well the potential economic, called, downturn, we have as well some important gain, I will not say massive - is too much. But important gains on the purchasing part. So, we have a strong - a good reduction of some raw material versus the peak of '21 that may compensate, some reduction of pricing further on. So for the moment, I'm not worried about the margin stabilization or improvement for next year. If we have a decrease, we need very, very big downturns to happen.
Miguel Borrega: Thanks, Chris. And just a follow-up to that. So, I think you mentioned volumes were down 30% in North America Usages. So at what point do you move prices? What drives you to move prices, essentially?
Christopher Guerin: We have sustained our price. It's - the reduction is mainly on the volume effect. We believe that in North America, we are at a low point of the situation in terms of volume, and it will be normalized in 2024. So we are very, I will say, attentive or, I will say, focused of what competitors are doing. We are not the key leaders there. The biggest players are Southwire, Prysmian and Encore Wire. But so far, we are very happy about our development of margin in North America.
Miguel Borrega: Thank you very much.
Operator: Thank you. We will take the next question from line Jean-Francois Granjon from ODDO. The line is open. Now, please go ahead.
Jean-Francois Granjon: Yes, thank you. Good morning. Just two questions, please. I will come back on the backlog. So your backlog is mainly - coming from mainly subsea projects versus the land project. But for the subsea project, could you give us the split for the backlog, between the interconnection project and offshore wind projects? And my second question, could you make an update for the M&A, more specifically for the transaction for regarding the harnesses businesses and the harnesses disposal expected? Thank you.
Christopher Guerin: Yes. So Good morning, Francois. We don't give the split within subsea with land element. We don't do that for obviously competitive reasons. We already gave a lot, because we said that 90% is subsea-driven. And we already cannot settle the area. We already expressed new numbers regarding our exposure in U.S. I think - we gave already enough...
Jean-Christophe Juillard: Yes. For the second question regarding harnesses, I mean, it's in progress, I would say. There's not much I can say. There's no new development versus what I said - what we said in July. I mean we definitely open the case and working on this, but - as you've seen in the numbers, the business is doing very well.
Jean-Francois Granjon: Okay. Thank you.
Christopher Guerin: Next question.
Operator: Thank you. We will take the next question from line Eric Lemarie from CIC. The line is open. Now, please go ahead.
Eric Lemarie: Yes. Thank you for taking my question. Good morning. I got a question about the backlog, because I think I missed something, because the order book was the same at the end of June, compared with one you just gave us for September. And I was - and while you win EuroAsia in July, and I was wondering if I missed something there already. I don't know if some the difference between backlog and I have to see backlog maybe. That's my first question. And I've got a second question on the Chinese player. What - do you have a different view now on the competition - on the competition from Chinese players in Europe? Do you see there is higher risk today? Or have you noticed any changes compared with the past?
Christopher Guerin: Yes. I think let me take the second question first. There is some concern in Europe right now regarding our ability as cable manufacturers to follow the trend, because I think maybe we need to highlight what have been announced in Europe recently with the Europe wind package. And let me give you some more color, but not for this and not a buyer but for investor. And the European wind package is directed to developers on turbine manufacturer mostly and to protect them from Chinese on facilitating investment as well in Europe, to have local content. So what is wind package means? That it should lead to more offshore wind farm being constructed in coming years. Three years ago, Three years ago, the targets for Europe in 2030 was about 60 to 70 gigawatts. And what the European wind package have announced recently last week, it's now 110 gigawatts by 2030. So a lot of questions regarding our ability to supply all the cable that will be related to offshore wind farm development first. And second as well, it's all the requirement that it will be needed on the grid itself. So the European wind package is about €1.4 billion of funding for the wind supply chain, involving the European Investment Bank to guarantee those investments. So it's in news reinforcing the ambition on Europe in terms of green energy, but as well, reinforcing the message for local content and supporting specifically the OEM wind developer, which is important. What have we seen so far on the Chinese? They have been pretty active on the product that we do not manufacture ourselves, but our competitors do. It's the inter-array cables. We have seen some Chinese coming up for inter-array cables. But to be honest, I'm not worried. It's more a question - that will be related for 2030, because first of all, the backlog of the industry is fully booked. For the next four or five years, there will be further capacity announcements for sure, but there is a kind of protection for the next four or five years, the margin development. On the Chinese themselves, today they certainly have some free capacity, because the energy transition in China is not yet in full force. But when you plug the ambition - the Chinese ambition in terms of energy transition, it will absorb the main capacity that the Chinese have installed so far. So the good news is that European is protecting OEM developers, cable manufacturers for local content against Chinese. It's a good news. More volume to come for us to be extremely selective on the greater project. Chinese are around, but not yet at a level that we should worry over. So sorry for this long answer, but I think we - as we were focused mainly in U.S., I wanted to give you as well a color for the opportunity, because it's a great news.
Jean-Christophe Juillard: Yes, I will take the - your first question. So you're completely right. I mean, the backlog has not changed. EuroAsia is not yet on the backlog. We are expecting the notice to proceed to take the consolidated backlog any time. You've seen probably in the news early October that the corporate structure of the project has changed and is now under IPTO, which is a very good news for us. And basically, it's a question of just a little bit of timing, and I mean we'll just see. Thank you very much.
Christopher Guerin: Thank you. We will end the call now, because we have further calls with investors already planned. We thank you very much for all your questions. Elodie will be ready to get all your questions in the course of today. Thank you very - much for your attention.
Operator: Thank you for joining today's call. You may now disconnect.